Operator: Good day, ladies and gentlemen, and welcome to the Cabot Corporation Second Quarter 2016 Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, today's conference call is being recorded. I would now like to turn the conference over to Erica McLaughlin, Vice President of Investor Relations. Please go ahead.
Erica McLaughlin - Vice President, Investor Relations: Thanks, Candice. Good afternoon. I would like to welcome you to the Cabot Corporation earnings teleconference. Last night, we released results for our second quarter of fiscal year 2016, copies of which are posted in the Investor Relations section of our website. For those on our mailing list, you received the press release by e-mail. If you are not on our mailing list and are interested in receiving this information in the future, please contact Investor Relations. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available in conjunction with the replay of the call. I remind you that our conversation today will include forward-looking statements which are subject to risks and uncertainties, and Cabot's actual results may differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot's actual results can be found in the press release we issued last night, and are discussed more fully in the reports we file with the Securities and Exchange Committee – Commission, particularly in our last Annual Report on Form 10-K. These filings can be found in the Investor Relations portion of our website. I will now turn the call over to Sean Keohane, who will discuss the key highlights of the company's performance. Eddie Cordeiro will review the business segment and corporate financial details. Following this, Sean will provide closing comments and open the floor to questions. Sean?
Sean D. Keohane - President, Chief Executive Officer & Director: Thank you, Erica, and good morning, good afternoon, ladies and gentlemen. I'm happy to be with you today to talk about our quarterly earnings performance. For those of you that I have not met, I look forward to getting to know you. I've been with Cabot for 14 years and I have run both our Reinforcement Materials and Performance Chemicals segments. I know firsthand what an extraordinary company Cabot is, and I'm excited to lead this great company. As you know, we have scheduled an Investor Day later this month, where I plan to talk through my vision and strategy for Cabot. We will also provide an update and outlook for each segment, as well as cover capital allocation priorities and other financial topics. I'm looking forward to this event, and I hope to meet many of you there. Today, I will focus on discussing the highlights from our second quarter, and our outlook for 2016. I am pleased to see an improvement in operating results both on a year-over-year and sequential basis. Key factors in realizing this improvement were the cost reductions from restructuring actions that were implemented earlier this year, and the results of our commercial activities across the segments that favorably impacted volumes, margins and product mix. The Performance Chemicals segment delivered its fourth consecutive quarter of record earnings. This segment has been performing extremely well for some time reflecting the specialty nature of the products sold across a broad range of applications and customers. Through commitment to our differentiation strategy, we have been able to improve margins and upgrade our product mix, while also growing volumes and implementing fixed cost reductions. I am also pleased to see that our Reinforcement Materials EBIT improved both on a year-over-year and sequential basis. This improvement came primarily from the outcome of our 2016 contract negotiations, where we were able to regain share in North America and upgrade our product mix globally. In addition, we generated over $100 million in cash from operating activities, and used the strong cash flow generation to reinvest in our businesses and return cash to shareholders. We invested $28 million in capital expenditures in the quarter, while returning cash to shareholders through $14 million of dividends, and repurchasing 106,000 shares for $5 million. I will now turn it over to Eddie, to discuss the financial results in more detail. Eddie?
Eduardo E. Cordeiro - Executive Vice President and Chief Financial Officer; President, Americas and Europe, Middle East and Africa (EMEA) Regions: Okay. Thanks, Sean. I will discuss the segment results, beginning with the Reinforcement Materials segment. During the second quarter of 2016, EBIT for Reinforcement Materials increased by $7 million as compared to the second quarter of 2015. The increase in EBIT was principally due to higher unit margins, driven by an improved customer and product mix in calendar year 2016. We also experienced a benefit from foreign currency, which was primarily due to the favorable impact of changes in currencies in South America, such as the Brazilian real. We made the decision to move to U.S. dollar based pricing in Brazil at the end of 2015, in order to maintain our U.S. dollar margins. The changes in the real, as compared to last year, were favorable on our fixed cost, resulting in a benefit to the P&L. As we indicated during last quarter's call, feedstock continued to be a headwind in the quarter, due to the unfavorable comparison of feedstock differentials, and lower benefits generated from our energy efficiency investments. These unfavorable feedstock effects, however, were offset by the non-reoccurrence of the high-cost inventory flow-through issue that we experienced in the prior year. Volumes were 1% lower during the second quarter of fiscal 2016, as compared to the second quarter of fiscal 2015. Volumes in the Americas decreased as higher contractual volumes in North America were offset by lower demand in South America, due to challenging market conditions. Asia volumes improved mainly from higher volumes in China, while European volumes were flat as compared to last year. Our capacity utilization remained in the 75% to 80% range in the second quarter. Sequentially, Reinforcement Materials EBIT increased by $8 million compared to the first quarter of fiscal 2016, driven by higher volumes and lower fixed costs. Sequentially, volumes increased by 1% as higher volumes in North America and Europe were partially offset by lower volumes in South America and Asia. Looking ahead for fiscal 2016, we continue to project volume growth in the second half of the year. The feedstock differentials that have been impacting us since last year have moderated and we anticipate diminished impact in the second half of 2016. Thus, all in all, we expect stronger performance in the second half of the year for Reinforcement Materials. Now, turning to Performance Chemicals, EBIT increased by $16 million as compared to the second quarter of 2015, due to an improved product mix and lower variable and fixed costs. Volumes increased by 1% in both Specialty Carbons and Formulations and Metal Oxides, primarily driven by growth in the Specialty Carbons and Fumed Metal Oxides product lines in Europe and China. Sequentially, EBIT increased by $8 million due to higher volumes and improved margins from lower raw materials cost and improved product mix. Volumes increased 5% in Specialty Carbons and Formulations and 8% in Metal Oxides, primarily from stronger seasonal demand. Looking ahead, we expect to sustain our strong results as we continue to actively manage margins and costs and drive the penetration of new high-value products. Second quarter fiscal 2016 EBIT in Purification Solutions decreased by $3 million compared to the second quarter of fiscal 2015, due to an $8 million unfavorable impact from reducing inventory levels as compared to the prior year, and lower unit margins. These effects were partially offset by higher volumes and lower fixed costs from our cost savings initiatives. Sequentially, Purification Solutions EBIT increased by $3 million compared to the first quarter of fiscal 2016, driven by higher volumes and improved plant utilization levels. Higher volumes compared to both respective periods were driven by demand from the MATS regulation. Compliance with the regulation was required during April and demand started to pick up during the second fiscal quarter. However, volumes were hampered somewhat by the low price of natural gas, which has caused a decrease in coal-fired electricity generation in favor of natural gas. Notwithstanding the natural gas headwind, we still expect a significant increase in MATS-related demand for our products. We will continue to reduce inventory levels for the remainder of the year and expect a similar year-over-year P&L impact in the second half of the year. Overall, we anticipate that profitability will improve in the second half of the year driven by higher volumes from MATS-related demand and seasonal increases. Second quarter fiscal 2016 EBIT in Specialty Fluids decreased by $1 million as compared to second quarter of fiscal 2015 and $2 million as compared to the first quarter of fiscal 2016. This segment continued to be impacted by a low level of project activity due to the downturn in the oil and gas industry. As we look ahead, we have broadened our marketing efforts into Asia and the Middle East, and we are seeing some positive momentum into the third quarter. We are currently seeing an increase in project activity with projects already underway. We expect these pipeline projects to continue strengthening as we move through the remainder of fiscal 2016. I will now turn to corporate items. We ended the quarter with a cash balance of $178 million, and our liquidity position remains strong at $1.2 billion. During the second quarter, we generated $117 million of adjusted EBITDA and reduced net working capital by $16 million. Uses of cash during the second quarter included $28 million for capital expenditures, $14 million for dividends, and $5 million for share repurchases. We recorded a net tax provision of $11 million for the second quarter, which included $4 million of benefits from tax-related certain items. Excluding the impact of certain items, our operating tax rate on continuing operations for the first quarter was 25%. As expected, we also recorded a $2 million benefit related to our LIFO accounting reserve, principally driven by the decline in feedstock costs. Based on the current outlook for feedstock and our anticipated inventory levels, we expect the $9 million benefit for the year recorded ratably each quarter. If feedstock costs move up or down from where they are forecasted to end the fiscal year, this estimate could change. As we look towards 2016, we expect capital expenditures to be approximately $125 million. We anticipate our operating tax rate for fiscal 2016 will be between 25% and 26%. And I will now turn the call back over to Sean.
Sean D. Keohane - President, Chief Executive Officer & Director: Thanks, Eddie. As you saw in the press release yesterday, we began the year with a target of $0.75 of adjusted EPS improvement over last year. Midway through the year, we are on track with cost reductions. The Performance Chemicals segment is maintaining strong margins and the Purification Solutions segment is benefiting from the implementation of MATS. However with greater visibility into the second half of the year, we continue to face a number of challenges, including the timing of certain oil and gas projects in our Specialty Fluids segment, a more pronounced impact from low natural gas prices on our Purification Solutions segment and persistent competitive pressures in China and South America in our Reinforcement Materials segment. As a result, we anticipate that we will not achieve the target of $0.75 of adjusted EPS improvement. However, with current positive momentum, we expect a significantly stronger second half of the year and currently see fiscal year 2016 adjusted EPS in the range of $3.05 to $3.25, which represents a double-digit percentage increase year-over-year. This includes an outlook for stronger volumes across the segments. Reinforcement Materials volumes are expected to grow in both North America and Europe. Performance Chemicals will strengthen in various automotive applications. Purification Solutions volume growth will come from MATS compliance and seasonal increases, and Specialty Fluids is expected to see an increased level of project activity. The stronger volumes, along with continuing to realize cost savings, will contribute to earnings growth in the second half of fiscal 2016, as compared to the prior year and the first half of this year. In addition, we continue to drive strong cash flow generation through our EBITDA growth and discipline around capital spending and net working capital. We will continue to prioritize returning cash to shareholders through dividends and share repurchases. Thank you very much for joining us today and I will now turn the call back over for a question-and-answer session.
Operator: And our first question comes from Ivan Marcuse of KeyBanc. Your line is now open.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Great. Thanks for taking my questions. On the first one's in the Reinforcement business, in the Americas, how much of the – how much was the North America up versus South America? And I understand you gained some market share this year, was that part of why it was up, and was the overall market down or how do you sort of describe this, sort of the, I guess, puts and takes there?
Sean D. Keohane - President, Chief Executive Officer & Director: Sure. Hi Ivan. So, you're right on here, in North America, we did essentially recover our market share in 2016, although that was partially offset by the fact that we had weakness in South America, in particular Brazil as the economic environment deteriorated there. So, we are in fact seeing what we communicated in earlier calls around the North America contract negotiations.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: So was the market in North America, the underlying market, was it up or down?
Sean D. Keohane - President, Chief Executive Officer & Director: Market was up modestly, is our view and the low single-digits, 1% to 2% is our view of market growth.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Okay. Great. And then with oil prices starting to move higher, did you see any towards the end of the quarter or I guess looking at this past month April, any sort of prebuying or, in both the Performance and the Reinforcement before maybe sort of the headline higher prices start to flow through, that will benefit volumes?
Sean D. Keohane - President, Chief Executive Officer & Director: We have not seen any material impact from that, the place where at times we do see oil-related moves are in Performance Chemicals where generally polymers move with oil prices and often you can see some pipeline effects as customers either prebuy or hold off in anticipation of falling polymer prices. But that being said, we haven't seen any material impact from that in the recent period.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Okay. And then, the last question and I'll get back into the queue. How much cost savings helped out this quarter, sort of the $55 million or so that you've laid out, how much have we achieved so far in the first half and sort of what should the cadence of that cost savings be on a year-over-year impact as we move through the second half?
Sean D. Keohane - President, Chief Executive Officer & Director: So, we are, I've been on track with our cost savings that we had previously communicated. Fixed costs, you remember that on a full-year basis was $55 million. Fixed costs in the quarter were about $13 million lower in Q2 versus last year. There were some one-time benefits last year in Reinforcement Materials with MATS, about another $5 million, but bottom line is this puts us on the run rate that we were expecting. So we are in fact fully on track here.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Okay. Thanks.
Operator: Thank you. And our next question comes from James Sheehan of SunTrust Robinson Humphrey. Your line is now open.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Thanks. Could you give us some more color on the competitive pressure you're seeing in China and South America, is that mostly pricing pressure in the spot – the tight markets and how do you expect that to play out in the second half of the fiscal year?
Sean D. Keohane - President, Chief Executive Officer & Director: Sure. Hi, James. So, maybe I'll make a couple of comments first on China, and then share a bit of context around South America as well. In terms of China, our volumes have held up relatively well, and we saw volume growth year-over-year, and this has been driven mainly by increases in passenger car tires due to growth in both the car park as well as automotive production, assembly production, in part helped by some government tax incentives. So the strength of the passenger car, PCR market has been pretty good, but partially offset by weakness in the truck tire market as the Chinese market in construction and infrastructure has slowed. But, we did in fact see the effective (18:22) significant step-up in demand after Chinese New Year, and are seeing stronger volumes as we head into Q3, where there is no holiday period. So, overall pleased to see the demand recovering. Competitive pressure in China is still pretty high, so we're working hard to balance volume and pricing, and I think we're doing a pretty good job of achieving that. I think on South America, of course, you're well aware the economic environment has deteriorated there quite a bit, and we don't see any cause for immediate step-up there. But that being said, it is a market where we have a fair amount of contracted business, and have secured significant parts of the customer portfolio through 2016. So we'll just have to see as the economy develops there how demand picks up.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And then for Purification you mentioned having similar inventory impacts, what was your expectation before operating earnings in that segment in the second half, inclusive of these inventory impacts?
Sean D. Keohane - President, Chief Executive Officer & Director: So, maybe I'll just take a step back, James, and just give a bit of context around the inventory builds and draws in this business and put it into strategic context. So, over the last two years, we have been building inventory in anticipation of the MATS implementation, to avoid the need for additional capital investments to increase capacity. And so, we had benefited in 2015 from building inventory, and we have started to draw down that inventory this year. So, year-to-date on a year-over-year basis, the impact is about $15 million. We continue, anticipate continuing to draw down inventory for the rest of the year. And so, therefore, expect a similar level of unfavorable year-over-year comparisons. However, the additional volumes and margin from MATS-related demand should drive an improvement in EBIT results in the second half of the year and we expect that to be a meaningful step up.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Great. And on your earnings guidance for the full year, you've mentioned that you expect some volume tailwinds in order to achieve that. If we were to have no volume growth, or I should say, if you don't have any tailwinds at all, or do you still think that you can achieve the bottom end of the range?
Sean D. Keohane - President, Chief Executive Officer & Director: So, the range, the range takes into account the many uncertainties as we move through the year, such as volumes, as you point out across the regions and segments as well as feedstock cost, natural gas prices and currencies. As I think about the range, the high end of the range would include stronger volume and as well as feedstock and natural gas prices and currencies remaining relatively close to where we are today. The lower end of the range would take into account the fact that feedstock, natural gas and currency would move in a way that's unfavorable or that volumes might develop a bit more slowly. But based on everything that we know today and we see today, I feel confident that this range is where we should be for the full year.
James M. Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you.
Operator: Thank you. And our next question comes from David Begleiter of Deutsche Bank. Your line is now open.
Jermaine Brown - Deutsche Bank Securities, Inc.: Hi, good afternoon. This is actually Jermaine Brown sitting in for David Begleiter. Sean, in Reinforcement Materials can you provide some color on the state of the inventory channel for tires?
Sean D. Keohane - President, Chief Executive Officer & Director: So, I think most of the tire makers have worked down inventory certainly as we go back over the past year to 18 months with – in particular in the U.S. with the implementation of antidumping duties on Chinese tires. We certainly saw the channel was stuffed in anticipation of those antidumping duties being implemented. That being said our discussions with tire customers would show that that has largely been worked off, and so we're probably operating more around the sort of natural or true levels of tire inventories right now. There is some concern about, with antidumping duties against truck tires out of China, that that could cause the same phenomenon to happen again, but I think we're probably closer to natural inventory levels than certainly we were over the last 18 months or so as those passenger car duties were implemented.
Jermaine Brown - Deutsche Bank Securities, Inc.: Understood. And within Specialty Fluids, with oil coming off their lows, are you seeing any change in project activity and within that segment, when do you expect to – when do you expect earnings to breakeven, are you forecasting 2017 or beyond that?
Sean D. Keohane - President, Chief Executive Officer & Director: So, a good question here. So, we've definitely been seeing less project activity for the last year in this business as oil companies have been delaying projects and managing cost. And so this did result in roughly breakeven levels of profitability for this business. But we do expect some modest recovery in the second half of the year, based on projects we've been selected for and that are scheduled here in the next few months. We have spent a lot of time really broadening our marketing efforts to Asia and the Middle East over the past couple of years, but these well developments as I think you know can take several years, but we now see some of these projects coming online. So, we're sitting here now, we're seeing some positive momentum in Q3, and as we commented earlier in the speech, we already have several jobs underway. So, this will result in a step-up in EBIT in Q3.
Jermaine Brown - Deutsche Bank Securities, Inc.: Understood. Thank you very much.
Operator: Thank you. And our next question comes from Kevin Hocevar of Northcoast. Your line is now open.
Kevin Hocevar - Northcoast Research Partners LLC: Hey, good afternoon, everybody. Wondering if you could – I believe you had a – some pricing actions in Europe in Reinforcement Materials that recently took effect to help mitigate this differentials issue. So I'm wondering if you give us some commentary on how that's going and are any benefits from this baked into your guidance.
Sean D. Keohane - President, Chief Executive Officer & Director: Sure. So as you point out, Kevin, we announced price increases in Europe to address the feedstock differentials and the dislocation in the market there. Let me just put into context those price increases. So they were announced in Europe and impacting about 15% – 15% of our volumes that are not under contract, and so I would say those discussions with customers are going pretty well, as this issue is understood and in my eyes it's really a structural issue that has to be dealt with, but it's on a relatively small portion of the volume that's not yet under contract. We do certainly expect to introduce this issue into contract discussions for calendar year 2017 in Europe. And I think we'll consider other regions as it makes sense.
Kevin Hocevar - Northcoast Research Partners LLC: Okay. And you mentioned the differentials issue too mitigating a bit – you expect that to mitigate a bit in the back half of the year. So could you kind of give us some type of indication of how that's trended as it may be mitigating because the comps are getting easier or is it actually also sequentially getting better and could you give us an idea of the magnitude too of kind of the impact during the quarter or the first half of the year or however you want to put it and kind of how that will – you expect that to change in the back half?
Sean D. Keohane - President, Chief Executive Officer & Director: So I think there's not been much changed here, Kevin, to what we discussed last quarter in regards to this. So maybe a bit of context as a reminder here, so certainly, for U.S. Gulf Coast feedstock in 2015 during the year, we saw that the differentials increased throughout the year, so getting worse throughout the year, due principally to supply-demand factors. At this time, as we look at the U.S. Gulf Coast, we see that the differentials are in line or more in line with the historical norms, the long-term historical norms, which means that they're more favorable than the peak of 2015, but not as favorable as the full-year average of 2015. Now, well, that's the U.S. Gulf Coast, I think it's important to remember we purchase a mix of feedstocks globally, including U.S. Gulf Coast decant oil but also Chinese coal tars and fuel oils from local refineries and ethylene crackers. And so through our strategy in this business and our global footprint, we really do try to take advantage of feedstock arbitrages, when they're – whenever possible. But there are a lot of factors that play here and these differentials certainly have gone against us through 2015 and into 2016. That being said, the differentials have – that have been impacting us here have moderated and we anticipate a diminished impact in the second half of the year. I think that's the best way to look at it, and probably about as specific as we want to comment on that at this time.
Kevin Hocevar - Northcoast Research Partners LLC: Okay. And then just a final question with oil funds and back up to, from the lows up to $45-ish, how do you, do you expect that to impact the operating margins at all in Specialty – Performance Chemicals, because I know the margins there have really benefited from price rise. So just curious if oil bouncing off its lows, you expect that to mitigate that expansion that we've seen or do you think you can pass along price pretty much in line with those raw material movements?
Sean D. Keohane - President, Chief Executive Officer & Director: Well, I think that movement will depend in some way I think on the rate and magnitude of change in oil as well as competitive dynamics. And so, those are always in play. But that being said, the segment, this segment, Performance Chemicals, is performing extremely well. It is resilient and really a truly differentiated business with products that are quite sticky. So as I look ahead, I think the strong performance will continue. And, but I think the profitability can always be impacted by product mix in any particular quarter or the timing of maintenance turnaround, things like that. But I'd expect the performance in and around this level to continue at this point.
Kevin Hocevar - Northcoast Research Partners LLC: Okay. Great. Thank you very much.
Operator: Thank you. And our next question comes from Chris Kapsch of BB&T Capital Markets. Your line is now open.
Christopher J. Kapsch - BB&T Capital Markets: Yeah. Good afternoon. Just a follow-up on the feedstock discussion, you mentioned it has moderated here sequentially. I'm just wondering, can you provide some context. But where has it moderated? Are you talking about just in the U.S., or has it really moderated in other regions as well?
Sean D. Keohane - President, Chief Executive Officer & Director: Hi, Chris. Well, certainly, the most visible evidence of the moderation has been in the U.S., as I commented earlier. We are still seeing some impacts in other parts of the world, but again on balance if you look at the whole basket of feedstocks and important to remember the fact that not only do we operate with the most global footprint, but also we have the broadest diet of feedstocks that there are always puts and takes here. But if we look across that basket we definitely see that on average the basket has moderated, and we're expecting a diminished impact in the second half of the year. So this is a positive.
Christopher J. Kapsch - BB&T Capital Markets: Okay. And if I could just follow up on some of the, and I guess it's de minimis, but the pricing initiative in Europe just 15% I guess of RM, so it's selective. But the initiative there, sort of piggybacking on the feedback discussion now, when the feedstock dislocation issue was most acute last year going into the calendar contract negotiations at the end of calendar 2015, there was some notion that led by you the industry might focus on getting – altering the pricing mechanism such that there wasn't this disconnect with the feedstocks and in the end basically the industry kind of abandoned that effort, nobody really got pricing, you guys did get market share back I guess in North America. Now, fast forward into, a couple of quarters into calendar 2016 here, there's – the feedstock issue is moderating, but there is pricing on the table and then you just guys raised the idea that you might reintroduce this pricing initiative going into next year's contract discussion. So I'm just trying to reconcile the likelihood of success of that given what happened coming into this year's contract season?
Sean D. Keohane - President, Chief Executive Officer & Director: So maybe before I address that question, I just want to clarify to make sure that what you said there was accurate. I think you had mentioned that the amount of volume that's in play in Europe is 15% of RM, I just want to clarify that that's 15% of European Reinforcement Materials. So, just in case there was any misunderstanding there.
Christopher J. Kapsch - BB&T Capital Markets: Okay.
Sean D. Keohane - President, Chief Executive Officer & Director: But let me try to provide a bit of context here. So as we head into any negotiating period where we're always thinking about the market situation and certainly a lot comes down to competitive dynamics and how things go based on that. And so certainly all I can really speak about today is the fact that we do see that the differentials here had hurt us and that they have persisted and therefore feel that it's appropriate that we introduce this to the customers and try to deal with the structural issue in the form of pricing. And as I said, I would expect this issue to be introduced in the contract discussions for 2017.
Christopher J. Kapsch - BB&T Capital Markets: Okay. If I could follow up on Purification Solutions. I just want to understand the inventory drag. Is that – did you say $15 million year-to-date and the basically the penalty there is – or you've throttled back your manufacturing dramatically so your unit costs are much higher. Is that – do I understand that correct and if so, also then when would you expect to get your inventories down to a normal level such that you can resume a more normal utilization rates.
Sean D. Keohane - President, Chief Executive Officer & Director: Sure. So, you do have it correct that on a year-to-date basis, the year-over-year impact is $15 million through the first half and we do anticipate continuing to draw down inventory for the rest of the year and therefore would expect a similar level of unfavorable year-over-year comparisons in the second half. And so, maybe you just – stepping back from that a little and again kind of reminding you of the strategic logic here. We built this inventory in anticipation of MATS and to avoid capital expenditures and we're certainly drawing down that inventory now, as we see the volumes from MATS being realized, so this is good. And I think as we head into next year, we would certainly expect the year-over-year comparisons to moderate.
Christopher J. Kapsch - BB&T Capital Markets: So, just to clarify the last comment on the timing. So you – like, beginning fiscal 2017, you think that inventories in the PS segment would be more normalized. Is that?
Sean D. Keohane - President, Chief Executive Officer & Director: Yes. I would say more normalized, that's right.
Christopher J. Kapsch - BB&T Capital Markets: Okay, and then finally Sean just, and I don't want to steal thunder from I guess through your presentation three weeks from today but, is there – in your new role, and congrats by the way, is there any preliminary thought about the portfolio as it exists today? Anything that you would be thinking about in terms of changes whether you feel like you need to augment one of the existing segments with an acquisition or possibly looking at jettisoning one of the segments, any preliminary thoughts on the portfolio as it exists today? Thanks.
Sean D. Keohane - President, Chief Executive Officer & Director: Sure. Well, I think those types of questions are probably best left for the Investor Day, because I think it will allow us to explore them fully, and in the context of the company's strategy and the individual segment strategies. But I think a couple of initial observations or impressions, I think. Certainly I've been with the company for 14 years, and so I know the company intimately, and Cabot is a very strong company, and with a leading market position in all of our businesses, and this provides durable long-term growth exposures. And there are a lot of macro trends like mobility, energy efficiency, sustainability, that these are positive forces on our business, whether it's through tires in Reinforcement or batteries and light-weighting in Performance Chemicals or sustainability in Purification Solutions. So we have got a global footprint that I believe is unrivaled, and it really provides true exposure to global GDP. So I think these are great strengths to build from. And I'm excited about the future of the company and certainly look forward to outlining our vision and strategy at the upcoming Investor Day here in a few weeks.
Christopher J. Kapsch - BB&T Capital Markets: Thank you.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the conference back over to Mr. Keohane for closing remarks.
Sean D. Keohane - President, Chief Executive Officer & Director: Great. Thanks. Thanks very much Candice. Thank you to everyone for joining us today. And I certainly look forward to speaking with you at our Investor Day here later this month. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Have a great day everyone.